Operator: Good day ladies and gentlemen, and thank you for standing by. Welcome to the Schnitzer Steel First Quarter Fiscal 2012 conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference is being recorded. I’d like to introduce our host for the day Ms. Alexandra Deignan, Vice President of Investor Relations. Ma’am, please go ahead.
Alexandra Deignan: Thank you, Karren, and good morning everyone. I’m Alexandra Deignan, the Company’s Investor Relations contact. I’d like to thank everyone for taking the time to join us today. In addition to today’s audio comments, we have prepared set of slides that you can access on our website at www.schnitzersteel.com or www.schn.com. Before we get started, let me call your attention to the detailed Safe Harbor statements on slide two, which are also included in our press release of today and in the company’s most recent Form 10-Q – 10-K, excuse me. These statements and summary, said in spite of management’s good faith, current opinions on various forward-looking matters, circumstances can change and not everything we think will happen always happens. In addition, we have guidance regarding our outlook for the second quarter of 2012 in our press release and in this presentation. After this call, we will not be under any obligation to update our outlook. Finally, please note that we will be discussing some non-GAAP measures during our presentation today. We have included a reconciliation of those metrics to GAAP in the appendix of our slide presentation. Now, let me turn the call over to Tamara Lundgren, our Chief Executive Officer. She will host the call today with Richard Peach, our Chief Financial Officer.
Tamara Lundgren: Thanks, Ally, and welcome everyone to our earnings call for the first quarter of our 2012 fiscal year. As we did in the past, I will start it off with a review of the consolidated results for our first quarter which ended in November. And Richard will then discuss the detail results for our three segments and review our cash flow and our capital structure. I’ll conclude with an outlook for our second quarter and then we will open up the call for questions. So let’s get started by turning to slide four. As we highlighted when we gave our first quarter preliminary results in December, our Q1 results were negatively impacted by an interruption in global buying patterns for recycled metals, followed by a sharp decline in sales prices. For a period of about three weeks our customers have spend in purchases of ferrous scrap due to high in concerns about a global recession driven by the European debt crisis. When buying resumed it did so a significantly lower prices and at lower volumes. Although we achieved ferrous sales volumes consistent with the first quarter of last year, our volumes were significantly lower than the run rate we’ve been achieving in the last two quarters of fiscal 2011. Our non-ferrous sales volumes were higher than the first quarter of last year, were also lower than the last two quarters of fiscal 2011 due to the same macroeconomic uncertainties. Our operating margins compressed primarily due to the effect of average inventory costs. Although we do adjust price, purchase price is downward because our inventory cost reflects a moving average, they declined more slowly than the decline in sales prices. As you know, we’re impacted by average inventory accounting cost every quarter. However, the effects are more significant with a sharp and sustained movement in market prices, which is what occurred when buying returned at the end of October and carry through November. Since then, prices have risen substantially for shipments being made in January. So, let’s turn to slide five to take a look at our financial results. Well, our first quarter EBITDA at $35 million and our EPS at $0.25 were the result of the very unusual interruption in demand and sharp fall in prices. We’ve said many years that it’s best to look at our performance over multiple quarters in order to smooth out the impact of average inventory costs, timing of shipments and the volatility in sales prices and to better understand the longer term trends driving our business. Looking at year-over-year, trailing 12-months, operating income for our Metals Recycling, Auto Parts and Steel Manufacturing businesses, you can see a consistent pattern of growth, and the EPS numbers tell us similar story. Digging a little deeper, our first quarter is typically our weakest quarter. The suspension in buying that we experienced this quarter though was highly unusual. We haven’t seen this type of buyer uncertainties since the fall of 2008, but it’s important to note that we did not experience in this quarter either the customer credit contraction or the contract cancellation issues that occurred in 2008 in order we see the non-cash inventory write-downs that we experienced last year. The suspension in buying, we believe was driven by the fear of another global financial crisis and by concerns that there would be continued downward adjustments in prices. As I mentioned earlier, both demand and prices began to rebound in December for January shipments. While our Q2 will feel the residual impact from the lower prices for December shipments, we’ve seen a healthy rebound in prices and demand in January, which we expect to remain into February. So, let’s turn to slide six for a review of the market conditions in the first quarter. To understand the market conditions in the first quarter is best to divide it into two halves. The upward trend in the ferrous export market that occurred throughout most of Q4 continued into September. Demand began to weaken in early October as macroeconomic uncertainties escalated and demand essentially came to a virtual halt until the end of October. By November, demand and sales resumed but at significantly lower prices for both the East and West Coast export markets affecting shipments in November and December. Sales prices rebounded in December to levels approaching average fourth quarter levels, which should benefit performance in January and February. Freight prices remained flat during the quarter versus Q4. The next slide, slide 7, shows the movement of market prices during the quarter. This graph reflects market prices based on a published market index of both the East-Coast which is the grey line, and the West-Coast which is the blue line. While each has a slightly different slope, with the East-Coast dropping less but from a lower base, both coasts experienced steep declines. Negative sentiments repelled throughout Asia and the Eastern Mediterranean as a result of uncertainty about the impact from the European debt crises on each market. By December scrap prices resumed their upward trend in the most recent export sales in January that have been reported but are not yet reflected on this chart are in the $470 CFR offer Coast. In addition to the revalued export demand and prices, U.S. domestic demand and prices for ferrous scrap nets increased in December and January. Domestic prices for shredded scrap increased by about $3 in December and again in January and subject to freights are now comparable to export prices. If we turn now to slide 8, we can take a look at the long-term trends that should support these stronger prices and demand. Well sales prices reflects a snapshot of demand, we all know that the longer tail of demand is driven by multiyear trends that have much more stability. Let me take a few minutes to review the reasons we remain confident in the long-term fundamentals that underpins sustainable demand for recycled metals. First GDP expectations are still growing although at slower rates, in our primary markets at Asia, the Eastern Mediterranean, and the Middle East. In China for example, GDP growth expectations ranged between 7% and 8% and steel productions is expected to increase again in 2012. In addition the government has a publicly stated plan to increase purchases of recycled metals to impart to its environmental emissions reduction target of 3.5%. And second EAS capacity is anticipated to grow from new build projects in Turkey, Russia and Vietnam. Russia is occasionally an export of scrap, but Turkey and Vietnam are short-scrap and are expected to increase their purchases in the global export market. The long-term trends remain positive, our recent investments have strengthened our flows and our ability to ship from our seven deep water ports wherever demand is greatest gives us operational flexibility. Moving to slide 9, let’s take a look at the sources of demand. During the quarter we shipped our ferrous and nonferrous products to 15 countries, demonstrating our strategic access to a geographically diversified customer base. Our largest ferrous export destinations were China and Turkey and on the nonferrous side China and the U.S. continue to be our largest buyers. The graph on the left shows where U.S. scrap exports have been delivered during the first 10 months of 2011. Slightly less than half our exports in the quarter, we're destined for countries in Asia and almost 30% were delivered to the Eastern Mediterranean and the Middle-East including Turkey and Egypt. So now, I’d like to turn it over to Richard who will provide more detail on our financial performance.
Richard Peach: Thank you Tamara and good morning. I’ll start my presentation on slide 10, with a review of our Metals Recycling Business. As most of you know, for comparative purposes dilutive MRB’s operations income on a per ton basis. In the first quarter MRB’s operating income per ton was $11 which was significantly lower than the $34 achieved in the fourth quarter. The sharp drop from selling prices lead to immediate downward adjustments to our cash purchase prices for scrap. However as our cost of goods sold is based on weighted average inventory costing, the average cost could not keep pace with the drop of selling prices which are the result that caused significant compression in our operating income and in our operating income per ton. Compared to the fourth quarter the adverse impact of average inventory accounting was approximately 75% of the drop in operating income per ton. As illustrated on the chart, this drop in profit per ton was similar to the change between the third and fourth quarters of fiscal 2010. The remainder of the drop in first quarter operating income per ton was due to a combination of factors related to the lower volumes compared to the fourth quarter. Finally on this slide, looking back to the first quarter of fiscal 2011, market conditions at that time were less volatile and reflected a riving price environment for recycled metals, those conditions does not produce similar margin compression as experienced in the first quarter of the current fiscal year. By turning to slide 11 for a review of ferrous prices and volumes; as shown on the left the average ferrous net sales price was $432. The first half of the quarter included some shipments at higher prices, and on a sequential basis average selling prices were down only $11. However as the high-low bars demonstrate in the second half of the quarter there was significant market volatility with a sharp drop in prices from peak-to-trough. Looking at the graph on the right, ferrous sales volumes in the first quarter were 1.2 million tons, a market driven declined sequentially from the high fourth quarter volumes. There were acquisitions completed in fiscal 2011 contributed an incremental sales volume of 65,000 tons which is on track of their expectations. Turning to slide 12, I’ll review nonferrous. As the chart on the left shows in the first quarter the average nonferrous selling price was $1 per pound. This was an increase of 6% year-over-year by a decline against the fourth quarter of fiscal 2011. On the right you can see first quarter sales volumes were $137 million pounds, this was an increase of 23% compared to the prior year quarter and includes incremental benefits of 19 million pounds from acquisitions an additional production from technologies we implemented in fiscal 2011. Now turning to our Auto Parts Business on slide 13. APB’s first quarter operating income was $10 million which increased to 12% operating margin. The sharp drop in commodity prices compressed margins on sales of course in scrap. This was due to a combination of cash purchase cost for cars which did not decline as fast as selling prices for scrap and secondly the adverse impact of average inventory accounting. These two factors were equally responsible for the drop in operating income from the fourth quarter of fiscal 2011. Although volumes were down sequentially, our Auto Parts Business developed high car purchase volumes compared to the prior year due to the contribution from acquisitions completed in fiscal 2011. Moving to slide 14, we’ll turn to our Steel Manufacturing Business. Finished steel sales volumes of 107,000 tons increased 9% from the prior year quarter, but decreased 14% sequentially due to normal seasonal declines and construction activity. Average selling prices of $722 per ton were flat sequentially, but increased 14% as compared to the prior year quarter. Higher fuel prices, improved utilization and the lower scrap market resulted in positive operating income of $1 million in the first quarter versus a loss of $2 million in the comparable quarter of the prior year. Responding to our cash flow and capital structure, we’ll start with the operating cash flow trend on slide 15. In the first quarter, cash flow from operations was an awful of $86 million. This was mainly due to increased inventories of $74 million, which we rebuilt after our record sales volumes in the fourth quarter of fiscal 2011. The first quarter also included over $30 million of payments for our combination of federal taxes and year-end bonuses that are typically needed at this time of year. While the training of working capital movements can result in negative cash flows for a single quarter, we’ve a strong track record of positive operating cash flows on a full year basis. Moving to capital structure on slide 16. During the first quarter, our total debt increased by $92 million including the increase in working capital. Capital expenditures were $26 million, and our investing activity also included the repurchase of 69,000 shares for $3 million. Leverage of 30% was up from the fourth quarter. However, we continue to maintain a strong balance sheet and significant headroom within our credit facility of $650 million. Now, I’ll turn the call back over to Tamara, who will provide our outlook for the second quarter of fiscal 2012 and some concluding remarks.
Tamara Lundgren: Thanks, Richard. While the market remains constant, we’re seeing indications of a more pronounced upside as the market gains momentum. As I mentioned before, December will feel the residual impact of the fall in prices that occurred in November, however, January and February volumes and prices should return to the run rate that we saw in Q3 and Q4 at fiscal 2011. As a result, in our Metals Recycling business, we expect both ferrous and nonferrous sales volumes to increase slightly from our first quarter of fiscal ’12, and we expect that ferrous and nonferrous average net selling prices to approximate our first quarter at fiscal ’12. Even though we anticipate it to show negative impact on average inventory cost during December, MRB’s operating income for first time for the quarter as a whole is expected to be approximately double the $11 operating income return that we saw in the first quarter. Turning to slide 18, we’ll review the outlook for Auto Parts business and our Steel Manufacturing business. In our Auto Parts business, revenues are expected to be slightly lower than the first quarter due to the normal seasonal decline in part sales and admissions. Second quarter operating margins are expected to increase sequentially 300 to 400 basis points to 15% to 16% due to an improving commodities market. In our Steel Manufacturing business, sales volumes are expected to increase slightly from the levels we saw in our first quarter. And average net sales prices are expected to approximate the levels we saw in the first quarter. Q2 operating margins are expected to approximate breakeven due to higher production levels. So, now we’ll open up the call for a few questions.
Operator: (Operator Instructions) And our first question comes from the line of Luke Folta from Jefferies.
Luke Folta: Hi, good morning, Tamara and Richard.
Tamara Lundgren: Good morning.
Luke Folta: Hey, first, Richard, thank you for providing some color on the impact of the average cost and inventory on margins. That’s very helpful.
Richard Peach: Thank you, really happy to.
Luke Folta: Second, the first question I’ve here basically, you said at the end of the quarter, the inventory on hand and I want to ask firstly how would you characterize the cost of that inventory? And is this something that you intentionally do in preparation for higher expected volumes in the second quarter or is it something that was the result of buying kind of ahead of where the shipment trends over the last couple of months?
Richard Peach: No, we don’t take inventory positions, Luke. We never involve in this unlikely, but we’ve a role. The inventories, the end of the first quarter actually have normal levels. The reason that cash flow was negative was that inventories at the end of the fourth quarter were actually quite low because we shipped great levels of volumes that quarter, so we’re effectively replenishing inventories, and back to a normal level during the first quarter.
Luke Folta: Okay. And as we see the Auto Parts business, you’re expecting some improvement there quarter-on-quarter about 300-400 basis points in margins, but there were still quite a bit of ways from where we’ve seen that business perform in last year’s full year run rate, can you give us some senses, are there still some impacts from inventory costs there that are going into the second quarter or is it just kind of the level of possibly this business can operate at?
Richard Peach: No, as you know, in fiscal ’11 and fiscal ’10 we averaged roughly 20% margins. In the second quarter even though we will be increasing 300 to 400 basis points from the first quarter, the second quarter will be impacted by the residual effects of average inventory costing that will head our December month numbers. And then the second thing is that, part sales and APB are seasonally always stronger in the second half of the fiscal year. So the second quarter will be impacted by seasonal effects too, but we’re confident we can run our business at our own, what we performed there historically.
Luke Folta: So there is no reason to suspect that in the second half you couldn’t get back to a 20% plus EBIT margin there?
Tamara Lundgren: There is no reason to suspect that we can’t obviously, its commodities market driven in part and just general market driven. But as Richard pointed out, for APB the second quarter is typically their weakest quarter and we do not have hang over in December. So we’re looking for a stronger second half of the year.
Luke Folta: Okay, great. One last question if I could. Can you just characterize how you see the supply situation ferrous scrap in China and kind of what your expectations are for that market the next couple of months?
Tamara Lundgren: For the demand market in China, is that what you’re asking?
Luke Folta: Yeah just – I think you know – what are their inventories like? Do you think – you see them replenishing over the next couple of months?
Tamara Lundgren: Well we do. They are coming up to the New Year which is always a slower time for them that impacts their buying pattern, so we do believe they are low in inventories now and we expect that to change over the course of the new few weeks.
Luke Folta: Okay, great. Thanks.
Richard Peach: Yep.
Operator: Thank you. And our next question comes from the line of Timna Tanners of Bank of America.
Timna Tanners: Yeah, hi, good morning. Happy New Year.
Tamara Lundgren: Good morning. Happy New Year.
Timna Tanners: Wanted to ask a couple of questions. One is it seems like scrap volatility is back, so we had a nice couple of months there with an (inaudible), but we heard last couple of months have been strong and starting to hear that February is shaping up to be a little weaker. So, can you just give us a little bit more color on what might be driving the very latest movements, and in particular, the differential between pig-iron and some of the higher premium grades of scrap in the U.S.?
Tamara Lundgren: Sure. We had a couple of quarters actually very stable prices in our tangle (ph)’11. So the first quarter of our fiscal ’12 was like different. Domestic market is strong, comparatively speaking, and as you know utilization is up at or around 77% and prices on the domestic market have been up two months in a row. There may be some recent softening, but really very recent and that might be driven as a result of better weather in flows. There may be some pig-iron overhang that did affect the first part of Q1 and so there might be a little bit of pig-iron overhang in some European imports. But that really affects prime scrap, not obsolete scrap, and so not exports. So we’re seeing a stronger domestic market and our focus on the higher utilization really points to positive trends for us.
Timna Tanners: Okay. I know you talked a little bit about the European scrap, so it’s a stronger dollar are you seeing more competition from other sources, Japanese, European, scrap exports?
Tamara Lundgren: Well not Japanese because the yen is quite strong.
Timna Tanners: Yeah.
Tamara Lundgren: The weaker euro is attracting some scrap imports from Europe. Again, primarily prime just a little bit of shredded into the U.S., but Europe can’t supply either the quantity or the quality that’s needed in the global market. So as I said before, it’s not whether you’re in the queue or not, but where you are in the queue. And -- to the extent that, that continues there is a potential knock-on effect which will drive higher prices out of the U.S. for scrap in Turkey and elsewhere as European scrap goes into the U.S.
Timna Tanners: Okay. Thanks for that. When you talk about the added cost and some of the recent acquisitions, are those permanent costs are those here to stay, can you talk about what that means and their ability is to kind of see synergies and work those down over time?
Richard Peach: Yeah, on the acquisitions I think it’s important to stay back and realize that the size of our business went up about 10% last year with the number of deals we did. So it’s not unexpected that we would have additional SGA from acquisition. And in terms of leveraging our SGA going forward are probably going to three different areas and the metals recycling business is obviously the consolidation of back office position, there is also the leverage over commercial buying stock in terms of increasing our volumes and we’ve been quite successful of doing that and then in the Auto Parts business where we’ve got concentration of stores, the real leverage available for us whether advertising and marketing expenditure in terms of increasing volumes, so its very much a focus.
Timna Tanners: Okay. So we shouldn’t read too much into the fact that SG&A year-over-year went up more than 10%, I mean, I’m just trying to figure out like how much – yeah.
Richard Peach: I wouldn’t and in fact, if you look back at Q4 and Q3 of fiscal ’11, its running at similar rate as it was then and the fact that its off year-over-year has more to do with a Q1 fiscal ’11 we didn’t have these acquisitions because they were mostly completed in the remainder of fiscal ’11 – in ’11 Q1.
Timna Tanners: Okay, got it. All right, thanks that’s it from me.
Richard Peach: Thanks.
Operator: Thank you. And our next question comes from the line of Tim Hayes from Davenport & Company.
Timothy Hayes: Hi. Good morning.
Richard Peach: Good morning.
Timothy Hayes: My -- one of my question is already asked. The second one is can you remind me again of your U.S. scrap exports. How much of the tonnage do you – are you on the hook for the freight cost of that?
Richard Peach: Well, we built the freight cost into the price that we sell the scrap to the customers. So the customer (ph) pays are estimate of the freight costs when we do the sales contract with them. So we’re faced with passing all the one, because we then charge of the ship after we’ve committed to the sale and from time-to-time the actual freight cost can that be either of more or less than the amount billed into the sales contract, but it's not – these changes are not significant to us and in fact freight cost have been running quite steadily as you will be able to work at our own $40 per ton and there is no problems of availability for ships. So this is really not something that’s affecting our results at present.
Timothy Hayes: Thank you.
Operator: Thank you. And our next question comes from the line of Brent Thielman of D.A. Davidson.
Brent Thielman: Hi, good morning.
Tamara Lundgren: Good morning, Brent.
Brent Thielman: Yeah, just a question on recycling volumes in the quarter. I think back in October you guys had sort of expected to be approximately sort of in line with where you were last year, and I think things turned out sort of the way you expected in terms of volumes. But I thought I heard you say, you saw some cancellations during the quarter. So I’m just trying to sort of flush out kind of what happened with volumes during the quarter?
Tamara Lundgren: No, I said exactly the opposite. We experienced no cancellations during the quarter. My reference to cancellations was to 2008 – in the fall of 2008. So this quarter we did not experience any cancellations and the only time we ever have was that unique time in the fall of ’08. So our volumes, we have projected would be down versus Q4, which was a record and obviously they were down because the confidence levels really deteriorated by our customers because of the European debt crisis and they paused (ph) on their buying for several weeks.
Brent Thielman: Okay, great. Thanks for clarifying that. And then just on the margins for metals recycling and what you are expecting for Q2, does that assume we will continue to see rising prices through February?
Tamara Lundgren: Well we definitely saw prices rebound in January, and we’re anticipating that they will remain steady for the quarter.
Brent Thielman: Okay. Thank you.
Tamara Lundgren: Thanks. Operator: Thank you. [Operator Instructions] Our next question comes from the line of David Lipschitz from CLSA.
David Lipschitz: Yes, good morning or afternoon already, I guess depending on where you are. Quick question; can you talk to me how it impacts your business in terms of spreads? Domestic scrap seems to be rising or has been rising and the international seems to have stayed okay, but still weaker. Does that impact your spreads much?
Tamara Lundgren: Well right now, prices are really pretty much in balance between domestic and exports and throughout the export markets. So we’re seeing very much, a balance across all the markets.
David Lipschitz: And so, in terms of the -- I know you sort of answered this, I want to get it straight, the dollar -- the strengthening dollar, you don’t think impacted that much in terms of how, – going forward in terms of pricing throughout the world?
Tamara Lundgren: The weaker Euro has attracted some imports into the U.S. It’s primarily been prime, which is not what we export versus obsolete. And as I said before, Europe cannot supply the quantity or the quality that’s needed in the global market. So it’s more a question of where you are in the queue versus whether or not you are in the queue. So we’re not seeing a big impact.
David Lipschitz: Okay. Thank you.
Operator: Thank you sir. And that concludes our question-and-answer session. I’d like to turn the conference back to our host for any final remarks.
Tamara Lundgren: Thank you. I’d like to thank everyone for joining us this morning, and we look forward to speaking with you again when we report our second quarter results. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may now disconnect. Everyone, have a good day.